Operator: Good day, ladies and gentlemen. Welcome to the Comstock Mining Third Quarter 2016 Results and Business Update Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Corrado De Gasperis. Please go ahead sir.
Corrado De Gasperis: Thank you, Ron, and good morning everyone. It’s Corrado here on the line, and welcome to our 2016 third quarter conference call. Last night we filed our 10-Q and I'll provide a brief summary of the information included both in the Q and our press release from this morning. We worked very hard to advance our projects and plans for growing the company. I know there has been very few updates since July but we had been very busy on the ground and we’ve got quite a bit to update you on and I look forward to providing more updates on all of this today. I’ll still keep my comments concise and be available for the Q&A during this one-hour call and for the rest of the day tomorrow - today and tomorrow for follow-up. I am certain I can address all the questions from all of you. If you don’t have a copy of today's release, you will find a copy on our website at www. comstockmining.com under news/press-releases. Please also let me remind you that in addition to the outlook I may make forward-looking statements on this call. Any statement relating to matters that are not historical facts can constitute forward-looking statements. The statements are based on current expectations and are subject to the same risks and uncertainties that could cause actual results to differ materially. These risks and uncertainties are always detailed in the reports that we file by the company with the SEC and also in the press release that was filed this morning. I'm going to focus my prepared remarks on five areas. Our goal and the plans for achieving it; our cost structure production and our cost position about. I'm also going to speak a little bit about some innovation success that we've experienced recently through a company called Cycladex, which is as strategic investee, and then I'll turn to the outlook, both for developing our properties and for acquiring similar Nevada-based gold and silver projects. Our goal, as I mentioned on our last call, is spend a bit of time over the past year as a board powerfully assessing our plans for developing the Comstock, and more importantly, for ensuring that our plans are sufficient for safely achieving the objective of becoming a sustainable 100,000 to 200,000 ounce annual producer. We've talked quite a bit and we feel strongly that the Comstock is an incredible platform for achieving that goal, and as we've discussed, capable on its own for achieving certainly the lower end of those kind of production objectives but we also have felt and deliberated quite a bit that when we look in our platform, when we look at the competencies that we've built over the last few years, especially in Nevada, including the acquisitions of mining and non-mining lands, the exploration development, rezoning, permitting and ultimately production from these lands, with exceptional metallurgical and process results, we feel that we're really well-positioned to acquire and build a larger multi-project platform by identifying and acquiring inexpensive light position deposits. So we’ve actually spent quite a bit of time in the last four to five months on those kind of activities. We also want to achieve and sustain the higher level of production from our Comstock properties, and so there is no discussion about exclusion. It's just a question of how we build and how we build most safely towards that objective. When we look at our own assets, our cost structure, our platform for production and our cost position, you'll see even from the financial statements that we filed last night adequately reduce cost from every perspective from every single line item when comparing them year-on-year. Mining cost of course are down dramatically, that's in part due to the wind down of production that’s occurring, but it's also in part due to exceptionally positive ongoing metallurgical yields. We’re yielding almost 90% on gold from the heap leach pad and over 60% on silver. Those are remarkable even in some of the best oxide base Nevada ore bodies. These results once again have extended our estimate of our revenues and our pours. We are now projecting that they will continue through the end of this year. I think some of our earlier projections were sort of the April-May timeframe, so it's been exceptional to continue to pour gold and silver from the existing pads. It certainly and probably most importantly bodes extremely well as we consider our future production plans and our future development plans, because this variable tends to be one of the most elusive and difficult ones to manage in the mining sector. As significantly, our non-mining costs have declined already over $6 million since last year, over $8 million since 2014 and they continue to decline. These are sustainable changes that we're making, and despite the deepness of these reductions and the lower cost, we still retain all of our competencies as a team internally, geological to engineering to metallurgical and environmental, regulatory, finance, business development, you name it. We have the team. It's in place, but we are extremely lean and we are extremely focused. It really provides us a tremendous financial stability as we transition our focus to growth. These change also put us amongst the lowest, if not, the lowest in our peer group. I mentioned on the last call, I consider our peer group junior minors - U.S.-based junior minors that are either in production or production-ready. Despite all of Judd Merrill and our internal team continue to look for cost savings regardless if it's an insurance, in professional services, it’s in bonding, anywhere that we can we’re reassessing and continuing to streamline things so that they are changed for a sustainable low-cost future. On our balance sheet since earlier this year, the focus has been eliminating these liabilities. The outcome has actually been dramatic as we've reduced our total obligations from $13.3 million at year-end to $5.3 million here at the end of September. And if you look at some of the prepayments that were made, we are well below $5 million as of that date. We've also reduced our bonding by $4 million, and as another example, just recently we completed some additional reclamation alongside the Lucerne mine and the road. That will reduce our bonding requirements by almost another 100,000. So we continue to chop away and even doing those things and accomplishing these things, we've been acknowledged by the Nevada Mining Association for excellence in both reclamation and in safety, and that means to us all or no liabilities as we move forward in these areas because we are tending to do things properly and expediently. As you also know, we recently exercised the option and purchased land in Silver Springs, Nevada. That land is almost 100 acres of land with senior water rights. We purchased it for a total of $3.2 million. We fully financed that purchase and that land and water right combination has an expected market value exceeding $10 million, so we couldn't be more thrilled having positioned ourselves for that purchase, but last week we received unanimous approval from Lyon County and we rezoned that property. So now that it's master planned and - both master planned and zoned for light industrial use, and we just submitted an application or accrediting it as production-ready, meaning the zone rights, got all the power, it’s got all the water, it’s got all the faculties needed for someone to develop it for industrial use. Overall we are still very solid on the expectation that we'll get over $7 million net of cash proceeds from these land sales. This is actually a low-end number when we consider the properties that we are marketing to sales, the non-mining properties that we are marketing for sale because we’re just continuing to inflow of development into northern Nevada. We do have a solid sense of urgency for marketing and selling these properties, but I want to balance that with the notion that we are in no way rushing or shorting the value that they have to us. I think most of you realize that sit in the bull's eye of the new USA Parkway connective that adjoins Highway 50 .USA Parkway is actually on schedule to be completed within the next 12 months. They are targeting either somewhere between August and October, November next year. They've already started paving just last week on the top section of the road. We have just heard some announcements that major hotel change and restaurants are coming in along the corridor. We also understand that another blue-chip name remarkably Tesla is imminently due to be announced possibly within the next 20 to 30 days. So we couldn't be more pleased. We couldn't be more confident on what's happening in the area and what the positive implications of the land values to up on these properties. We just need - and I know it's a little difficult, a little more patience as we cement this path along and get some of these objectives accomplished in the best possible way. At a minimum, we certainly preserve the optionality of our land package, our gold and silver assets, but we are really keen in accreting those values and starting to grow the value and grow the development platform. As the market continues to improve, we are looking forward to really recapturing this value in the best possible way. I'd like to give just one example of how we've either maintained or improved our competencies while we’ve been making these changes. I acknowledged this morning in the press release that Cycladex, a strategic investee, just received a Federal grant for advancing cheaper, faster, safer, leaching technologies in collaboration with the company. Our investment in Cycladex - our collaboration with Cycladex has actually being multi-year. Our investment in them was really through in-kind activities, meaning we allowed them to leverage our metallurgical lab with our people, test our ores as they are experimenting with these new processes. But this past summer, a couple of milestones were hit. The laboratory test proved positive. The company received their third Federal grant of almost three quarters of a million dollars. They are almost to a million dollars in grants over three grants that they’ve gotten from the Federal government. And as they’ve proved their science in our labs, there are now fully funded for full-scale column tests, and over the next couple of months will be testing a cyanide solutions against their non-cyanide solutions on a pilot scale and ultimately looking to see if we could do pilot scale production with them. What they are actually doing is just creating a cheaper, faster and safer leaching processor without cyanide which would be remarkable. We actually own 10% of the company and have full rights to use the technology, but we are not of the notion to be promoting things before they become meaningful but once the Federal grants - the third Federal grant was received and frankly when the co-founder of the company last week won the Noble Prize in chemistry, I felt like I should probably get the news out that we're working these folks. The Noble Prize that he won was not for this technology but for other chemistries, but it's certainly remarkable. Just getting to our outlook which is the most important part of our discussion, especially in including the development of our properties and the acquisitions that we've been doing assessing, obviously our most important near-term objectives in the outlook is to complete the non-mining asset sales. We believe that we are right on schedule with the marketing of those assets. We have got in inquiries. We have gotten offers on some of the water rights and one of the lands, the offers were not expensive but we certainly see a rising value equation here and so we're wanting to make sure we assess the market strongly before we accept any but we're moving in that direction. We have prioritized the Dayton development over Lucerne. I mentioned this on the last call but we've completed our final drill plans and our final permitting plans for the Dayton mine. In fact we've even modeled a strong series of economic shells which give us good certainty into the feasibility. We believe the next phase of drilling will significantly enhance the reserves and allow us to publish full feasibilities on the project. We are cleared either with federal or private pass for production, and so we’ll commence the permitting processes almost immediately on the Dayton. We will look to do drilling and development and the rest of the work that needs to be done next year, and we expect that the Dayton would be ready for production within two years. So we're very excited about that. We believe the Dayton is not only our second mine to go into production, but the general grades and cost profiles and the metallurgies, believe it or not, are all ranking better than the first phase of the Lucerne mining. So we are very excited about a mine that can produce strong cash flow. We're very excited about cost profile that looks like it will be under $600 an ounce. We’re very excited about grades that average almost double what the Lucerne averaged in its first few years of production. So Dayton is taking priority in terms of management focus and effort. That’s not diminished the Lucerne but we mentioned on the last call that we’ll continue progress on Lucerne albeit at a slower pace. The first effort on Lucerne will be scope drilling on the Succor as its next phase, but we haven't approved that yet. I said that last time, I'll say it again, and we wouldn't approve that until we are at least through some of the land monetization. And so we’ll go at a slower safer place there, but as Lucerne is fully permitted, there is a shorter lead time ultimately to get it to the finish line but we're going to be safer and slower. Most of the questions that I receive and that I have received really revolve around those two bullet points. I think that they are obviously critically important. We’re stable and we are confident about those approaches. We again ask for a little bit more patience but the plans are solidifying and moving forward. We want to extend out for my next point to some of the other areas. This will almost certainly not occur in 2017 but could occur in 2018 when we look towards extending the Dayton down into the Spring Valley and extending up into the Occidental. We spoke last time about how big the district is and that we've got strike length of greater than a mile and a mile and a half in these two areas. I'll not get into that anymore today because it's more longer term, but I just - I don't want people to forget the magnitude of the district. And lastly, we have been evaluating other opportunities and to be frank, I’ve personally been on at least half a dozen site visits. There are - especially with the volatility in the gold and silver market, projects out there that are very inexpensive that are frankly stuck in terms of their ability to move the projects forward and that could result in a situation where we have stronger asset base, a stronger balance sheet and even stronger management competencies. If they meet those criteria, we tend to look at them. They are mainly private projects. They are not public companies, and so we'll continue to do that work. It's something that the board believes is an opportunity that we shouldn't ignore and we shouldn't miss similar to stepping out on some of the other aspects of our district. The key is just doing it methodically, doing it sequentially and try not to miss opportunities that come up to add ounces at very accretive values. Ultimately the target again is to be 100,000 to 200,000 ounce producer between our existing and other assets. We are not so keen to be outside of Nevada. But I was honest I would say that across the state line once or twice in last four or five months but generally speaking we are trying to stay home. So all of those objectives and that progress derives from, what I believe is, unprecedented land in mineral position on the Comstock corporate competency for identifying, acquiring, and advancing land base mineral developments, the network of mining competencies that's becoming second to none. We've expanded from just having great mining, metallurgical and technical partners to now having financial and strategic partners. We have the leanest overhead and what’s assumed to be just one of the strongest balance sheets and we’re targeting this debt free thing with these land sales, and lastly this big NOL position. We are a cash flow minded. We want to drive towards cash flow. The criticism has been the pace at which we've established reserves in going into production and that's fair but it's absolutely our objective and it's absolutely our competency. We've shown that we can do it and we will do it. Again we are of the mind to bring projects to production and we believe we are good at it. So our entire board is focused on increasing values through the competency, through leveraging that competency and maximizing this for shareholders. I will pause for questions, Ron, at this point. I didn’t say it so clearly at the beginning but we want to limit the total call to an hour. But I’m committed both during the next half hour and afterwards making sure we get back to anyone that has questions. So why don't we move to questions now.
Operator: [Operator Instructions]. And we’ll take our first question from Marco Rodriguez from Stonegate Capital.
Marco Rodriguez: Good morning, Corrado. Thanks for taking my questions.
Corrado De Gasperis: Marco, nice to hear your voice. How are you?
Marco Rodriguez: Doing well. And you?
Corrado De Gasperis: Thank you.
Marco Rodriguez: Good. So I just want to make sure I had some items first kind of clarified. Just on the asset sales and cash. So you guys are looking to sell net proceed of about $7 million worth of assets sometime in the next, I guess, few months for a lack of better word, but the balance sheet is showing about $9 million in total debt and obligations. So am I getting those numbers correct? And so after everything is said and done on the asset sales, you'll have roughly $2 million debt position?
Corrado De Gasperis: Yes, so we - well, yes, so we have - I think with some of the prepaid amounts, the number is closer to just a little over $8 million, right. So there is liability number that you identify was accurate. We had some prepaid assets there that will attend to the some of those liabilities and bring it closer to $8 million. The asset sales looking to net about $7 million, I think is really a most conservative number. I mean there is a scenario where the Silver Springs property alone could net us almost $7 million with the valuation of over $10 million and about $3 million of debt associated with it, right. So I think that we are probably in a $7 million to $10 million range with $7 million being the low end of the range. And I'm confident that we'll be able to extinguish, if not all, substantially all of those liabilities and certainly all of the near-term ones.
Marco Rodriguez: Got you. That's very helpful. And then in terms of production or bringing the company back into a production phase. If I'm understanding you correctly that Dayton is taking the front seat, if you will. But that's looking like it's perhaps a mid to second half 2018 event. Is that fair?
Corrado De Gasperis: Yes, I would say end 2018, right. It's a two-year exercise. The thing about the Dayton, it's really more risk decisions, right. So if we were basing it purely on the technical path to completion, Dayton is an absolutely straight march with the only uncertainty being how big we can grow the reserve. So we’re using that certainty to sort of dictate the sequence in the priority. Having said that, right, if we had some earlier success with the land sales or we had some accelerated progress sort of in that context, if you raise the two of them, Lucerne could be faster because it's already permitted. But based on our priorities and our capital, we want to get Dayton their first. And Dayton with its very low cost and very good grades could fund a lot of things for us, so that's really how we prioritize it. It is subject to acceleration. It is subject to reassessment of Lucerne and other things but we are trying to at least create a certain focused march to the next phase of production. If we have some positive surprises in the meantime, that's wonderful, but we want to at least solidify. I acknowledge that the Lucerne underground development not occurring on the original schedule created a lot of uncertainty, right. And so although we’re still confident about it, we are still keen on it, we want to eliminate the uncertainty by prioritizing Dayton and marching forward with our resources on Dayton. And then it will ultimately enable all the other things we want to do. It could maybe enable sooner through other means as we’ve talked. Is that helpful?
Marco Rodriguez: Absolutely. That's very helpful. So the Lucerne you will probably expect them to come online shortly after that Dayton, so maybe early 2019 event or how should we think about that?
Corrado De Gasperis: No, we should think about Lucerne as having a minimum of a year, maximum of two years of development that's required, and we can't - not maximum of two years. Lucerne is an underground development, so once we start developing Lucerne, Lucerne has ongoing development, right. It will just be - we’ll always be developing it as we're mining it. So we should think of it as a minimum of a year, potentially year and a half or two years of development that once we started we will have actually a clearer path because we are already permitted, right. But so we really on hold for any approval there until we feel that we have the resources and the ability to address it fully. And then that announcement will start to clock but we don't have a clock going on it. The clock will be on Dayton as the priority. Lucerne as the second.
Marco Rodriguez: Okay, so if I'm understanding you correctly, then Lucerne could be a 2020 event?
Corrado De Gasperis: Lucerne could as soon as 12 to 14-month away and as long as 24 to 30 months away. I think that's fair.
Marco Rodriguez: Okay, perfect.
Corrado De Gasperis: We're going to control that decision, right. We will decide when we are ready, willing and able to do it safely.
Marco Rodriguez: Got you. Appreciate that. And then lastly, Corrado, I was wondering if maybe you could talk a little bit more in regard to these, I guess, alternatives you're talking about in your prepared remarks and also in your filing. Just trying to get a sense as far as how you're thinking about what sort of assets or deals you might be looking at, and then also just kind of given where your balance sheet is right now and where you might be after you sell all those assets, just how should we be thinking about the funding of particular deals as well as how we should be looking at just the cash flow aspects at Comstock as well?
Corrado De Gasperis: So let me talk about practically and a little bit philosophically at the end. Practically speaking, we are keen on - and this is partly because of market, I don’t know the word to use, I want to say research, but it's really more collaboration and people have approached us and vice versa. Mostly people approaching us but there are - we prioritize Nevada-based projects because we've built an incredible network both socially, politically, regulatorily and commercially, so we have a great foundation there. We are not riding hard alongside the intermediates and the majors. We are targeting smaller deposits. So for us funding 350,000, 500,000, a million ounces it’s attractive but we like that. It has to have a technical resource at a minimum, so we are not interested in acquiring land for greenfield exploration. We are interested in projects that have technical resources, preferably pre-feasibilities that are just some [Technical Difficulty] for metallurgical, sometimes the blocks are financial, sometimes the blocks are managerial, but they are blocked and the projects are good. And so we might - one of our board members said we might be flying under the radar of projects that maybe aren't big enough to expand the resource but just the current scope and size could they produce 20,000, 30,000, 40,000, 50,000 ounces per annum? Yes, that’s sort of the target range. And so in our minds to have a company of, let's say, three, four, five mine operations, of which admittedly at least two from the Comstock or could be three. But in a framework where we are not creating variation at the corporate level, we are not creating variation at the regulatory level, we are not creating - we don’t want scalable corporate costs. We want fixed stable corporate costs that we can then leverage to grow the company. And in that regard, we see not being able be achieve the six-figure production level, but sustain it much, much longer. So I think as - and so I think that from a targeting perspective, that's a pretty good summary. From a financial perspective, I think the notion of having technical resource and maybe more preferably pre-assess talks about proximity to production. We want near or at production development. So in that regard, we would expect that the fuller spectrum of the capital structure would be available to us and particularly we could use non-equity sources or safer debt funding for those individual projects. And interestingly we've gotten great reaction on some of the pre-assessments that we've done and recently we've been able to do some debt financing safely too. So we have to let it play out, and I think it probably depends on each project has to stand-alone on its own feet and hence that will help determine the proper financing strategy but we would still want to remain of our core balance sheet for assets.
Marco Rodriguez: Got you. That’s very helpful, Corrado. Appreciate your time. I'll jump back in queue.
Operator: And we’ll take our next question from Heiko Ihle from Rodman & Renshaw. Please go ahead.
Corrado De Gasperis: Heiko.
Heiko Ihle: Hi, thanks for taking my question. Hi Corrado.
Corrado De Gasperis: Good morning.
Heiko Ihle: So you purchased lands of $3.2 million in Lyon County [Technical Difficulty] through a price differential?
Corrado De Gasperis: Yes, I can. I think one of the - two points, Heiko. I think one of the things that is important is that the options on purchasing of those properties, the negotiations started years ago. And so they predated the announcement of USA Parkway. We ultimately transferred the option to us after the Parkway announcement but it was negotiated well advanced to that. The real stickler - well there is two drivers, right. The property values have moved up dramatically since the USA Parkway announcement and we are now seeing tremendous amount of developer purchasing land all around us. We are literally at the cross intersection of where the USA Parkway crosses Highway 50. In addition the Silver Springs Airport fits right at that intersection. We were one of the main speakers and proponents at the master plan in like a few weeks ago, where the Lyon County commissioners are moving to expand the airport. So our property borders the airport and it's one step removed from bordering both of those highways. But the land values are going up dramatically from the original option price that we got. In fact the range and if we sub-parcel it, which we are now proceeding to do now that the zoning has been approved, we are looking at square footages, a cost per square foot of about $1.50 which is not high. We've seen comps higher than that and that would give us about $7.5 million to $8 million value on just the land. The remarkable thing is that we got about 257 acre feet of the most senior priority water rights as part of that acquisition. We had to re-certificate those water rights from agricultural to industrial. That took some effort, but we did it. And so today those water rights are - we are valuing them well over $2.5 million alone. I would not be surprised if we could ultimately sell the water rights were what we paid for everything over $3 million [ph]. So that's where it's coming from. We already got - we actually got an offer a couple of months after to buy the whole thing, which would have been a meaningful profit but very low relative to the market values I just mentioned. And then we got a pretty decent offer on buying 100 acres fees of the water rights for about $8,000 an acre foot but we are valuing them at a minimum of $10,000. So the market is there but you're going to see an exponential curve as we go from October 2016 to August 2017 when the USA Parkway breaks through and connects. So we like the timing and we like the position very well.
Heiko Ihle: Got it. Okay. Do you expect to see any mining revenue at all from residual leaching in Q1? I mean, you’re going to leaching process still some pouring out here in Q4, but I mean are we really going from 700 grand in revenue to zero?
Corrado De Gasperis: We are getting close to that to the breakeven cut-off, right, like I'll be very specific on this. We are still pouring like 50 ounces-plus a week. There is a cut-off level of about 30 ounces, where it’s a breakeven. And our guys just did another streamlining of cost that moved that number down to like 21 or 22 ounces, but the point is that even though there is a theoretical declination of ounces, it gets to a point where it hits a breakeven where we’ll just stop it, right. So the answer is technically we could pour all the way to March but we wouldn't be even covering our variable cost and labor if we did that. So we'll stop it before then and our current plan is to stop it by Christmas.
Heiko Ihle: Got it.
Corrado De Gasperis: So I don’t expect to have any revenue in the first quarter but I have to caveat that to say that all of our declining curves even have all been - have all turned out to be too conservative. So if it keeps pouring well above 30 ounce level, for example, then of course we'll keep pouring but our current plan is shut it down by Christmas.
Heiko Ihle: Got it. Okay. And then building on an earlier question on the call here, how do you plan on funding yourselves in 2017 and through 2018 before Dayton re-enters the production stage?
Corrado De Gasperis: I think that the sort of this one prerequisite is we want to sell some of these properties. I think that if you look at our assets and our liabilities, that would result in like with American Mining and Tunneling and we do have sort of that equity line, but we are resistant even now to use them because we are just being - we’re being safe but we are also being very careful with the equity and I think people are appreciating that. There is certainly a frustration about the delays but I think that that we’re just - the focus on the balance sheet, the focus on the cost and the focus on the equity has been extreme, right, and so we are coming out of it. There is some - there are some alternatives but I think the best ones are for us to sell some of this land and get some of our own cash in. And then we have some other avenues. When you're that close to production, when you really have a definitive timeframe to production, it opens up some flexibility. So we are assessing those right now. We're going to be very careful. We're going to be very cautious but we are going to get it done.
Heiko Ihle: Fair enough. Cool. I'll get back in queue. Thanks a lot.
Corrado De Gasperis: Thank you very much.
Operator: And we'll take our next question from Chip Unsworth from Legend.
Corrado De Gasperis: Hey Chip, you there?
Chip Unsworth: Hey Corrado, how are you? Yes, just picking up. So once upon a time we were kind of in the same spot as we are right now, kind of staring out there looking for gold and we did a recap, raised a pretty good chunk of change back in 2010, but kind of what was the probably premiers thing that we raise the money off of was the 43-101 at that time.
Corrado De Gasperis: Right.
Chip Unsworth: I might be mistaken but was that the last time we had 43-101 was 2010?
Corrado De Gasperis: No, it was - the first one was in May of 2010. That is correct. And then the last one was January of 2013. The first one was the Lucerne deposit and then the last one expanded the Lucerne deposit and included the Dayton deposit. So there were actually four reports between May 2010 and January ‘13 because the real point is that's when we were drilling very, very steadily, like through that whole time period we were drilling.
Chip Unsworth: Right. And I remember the measured and indicated and inferred number of 3.2 million. Is that number correct?
Corrado De Gasperis: Measured, indicated and inferred of - yes, just over 3 million that’s gold equivalent ounces, right, so that includes gold and silver.
Chip Unsworth: Yes.
Corrado De Gasperis: And then resource…
Chip Unsworth: So in this particular spot that we’re at right now, Lucerne and the Dayton, is there - as part of the program is there to - there is a ridiculous echo on this phone by the way. Is there a part of the plan to build out a drilling program to show a number that has hopefully gone up from 3.2 million measured, indicated and inferred number to a four or five or hopefully something greater than that. Is that part of the plan?
Corrado De Gasperis: That must be - let's break it down. If you don’t mind, let's breaking down between Dayton and Lucerne. Okay? So of the ounces that you described, gold equivalents, Dayton was about 0.5 million and how that broke down was about 250,000 of measured and indicated and about 250,000 of inferred. And so the Dayton had 0.5 million and in the Dayton's case we've already carved out of those measured indicated ounces something like 80,000 to 100,000 ounces of - internally we haven't published it but internally economic show that would translate into proven and probable reserves. And what we’d like to do and we feel very confident about doing is like a drill program that would more than double, if not, triple the reserves. So that puts you at like 240,000, 250,000 of proven and probable reserves and go into production. And then - but as you're converting 0.5 million of resource into, let's say, quarter of a million of proved and probable reserves, you’re also increasing the resource as you step out and drill more, right. So that's the profile for the Dayton. It's very, very solid. We would be able to publish all of these ability with reserves, or more importantly, a production schedule and the economic cost to produce, which again for the Dayton is potentially under $600 an ounce given the grades and the metallurgies that we already know we have there. With Lucerne, it was the bigger of the two. I think the measured indicated gold alone was like 1.59 million. We had a lot of inferred and then we had a lot of silver. Now we mined a small portion of that to the west, so there would be some subtraction that would occur with the mining. Our original mine plan there with the starter mine, it was only about 100,000, 120,000 ounce. We ended up only mining about 72,000 ounces in those first four years, but the key point to make is of all of those resources that we are talking about, the Dayton and Lucerne were based on the same cut-off grade which was targeting open pits, okay. As we transition and if you go onto that same January 2013 report and this is not bad. If you looked at, let's say, not 0.01 cut-off, right, which would have been closer to what we were mining towards when we were mining the Lucerne, 0.01, 0.015, but a 0.01 cut-off which 0.01 cut-off would not translate into, let's say, 0.03 average like we averaged on Lucerne but a 0.03 average. So now you're talking about a 10x multiplier on grade as you’re targeting underground grades. If you look at that January 2013, there was about - it was well over 300,000 - some just closer to 325,000 ounces that was graded over 0.1. And what our underground development was targeting was to drill those ounces out, connect those ounces together, and then start mining into that high grade reserve, which we still want to do. So I don't dismiss the 3,000,000 ounces but as you shift to underground, then you’re targeting a much, much higher grade portion of those. And it doesn't mean it would be less profitable, but it’s very different that's all. But the point is we've got ounces in both areas that we want to develop into a mine - into two mines.
Chip Unsworth: I guess my question is, can we lead ourselves to believe something more than what we are just talking about in words with the...
Corrado De Gasperis: Yes. Let's say this. The Dayton, we are looking to double and triple the ounces, and I could almost say that in every category be it a resource or a reserve. In Lucerne, we are looking to grow, I would say, from the 325,000 ounce base, a much bigger underground mine plan and reserve. And then with Spring Valley and in the Occidental, I think I said it on the last call, the potential for million ounces per and then to your point, going from that original thought of three to four to five. Absolutely. That's the bigger potential of the district that the Spring Valley alone is 7,500, 8,000 feet of strike length and the Occidental is right behind it, about 7,500 - 7,000, 7,500, tremendous potential for adding ounces, tremendous. They are not - those ounces aren’t as near-term for production although Spring Valley could be, because in a sense, Spring Valley could be just added onto the Dayton but they are there, right, and the potential is there. We are very excited about that. I mean it's the power of the whole district really.
Chip Unsworth: All right. Thank you.
Corrado De Gasperis: Thanks Chip.
Operator: And our next question comes from James Dale [ph], a private investor. Please go ahead.
Corrado De Gasperis: James, how are you?
Unidentified Analyst: How are you doing, Corrado? Hey listen, I want to extend the thinking of your previous caller here. We've got this world class mining district. I mean, just potentially everything else like that. Just scratched the surface as far as exploration and we have something like 3,000,000 ounces identified, I don't think it - and maybe you can correct me on this to think that the total potential should exceed somewhere north of $20 million in the whole area. So my follow is just like the valuation of our [indiscernible] not reflecting that potential. And thinking that, okay, if you got $20 million and let's say 500 million - $500 an ounce, you're talking about a $10 billion asset pile that you know are selling for $0.31, $0.32, $0.33 a share right now and that's not like the $50 a share it’s potential worth. Can you built on this a little for me?
Corrado De Gasperis: Yes I can. So I think that you're hitting the right points, right. What's our value? We fundamentally consolidate and own an entire geological district. We've established resources in two of the seven target areas.
Unidentified Analyst: And you own the world class.
Corrado De Gasperis: Yes, with high grades, epithermal district with historical high grades, okay. We've rezoned. We've permitted and we've been producing for four or five years. We haven't been drilling since 2012 to Chip’s point, right. So we haven't been adding ounces. We've really been stress testing the platform, and that only strengthens what I would say - what I would call, the future prospect and the future minability. We had one major come in and look at everything that we are doing and they were shaking their heads, and I was like why you're shaking your head? And they are like in every project that we look at and we like that, that has this kind of exploration potential is like seven to 10 years away from any notion of production. And with all the risks associated - in other words, they still have to get their permits. They still have to develop their geology. Frankly they haven't even tested their metallurgy. You guys have eliminated all of those risks and you're less than two years away from production. And I was like, that's right, nothing to shake your head about. They were just sort of bewildered at the derisking. The reality though is that we've set some harder expectations for the continuity of the production and it was disappointing, and so we've extended ourselves a little bit at the beginning of last year to the point where people lowered it. So my answer to this is although it's taken a little bit longer, having a strong balance sheet is critical. Doubling and tripling the reserves and publishing a full feasibility on the Dayton is critical, that will start to grow the ounces. And then we can start accelerating that growth, to your and Chip’s point, by stepping out the drilling safely and not putting the enterprise at risk by doing it safely, like we did in 2010, ‘11 and ‘12 just will we did. And so we are keen on all of that. The idea of acquiring other assets is simply that we don't want to discriminate - if we could add ounces to the portfolio like we did in the past at $6, $7, $8, even $10 an ounce, we'll do that all day long. That's the most accretive thing that we could do next to producing that. That's even easier. And so we are just trying to keep eyes open within our realm of competency. We don't want to step outside of what we are not good at, but we don't want to exclude something when we are good at it and we are focused. So I don't - I would never diminish the notion of potential because we've confirmed the strike length, we've confirmed the mineralized nature, we've drilled into it. It does take some time and money to drill it out and we are going to do it. We've also gone through four years of market turmoil which we could not - we right now have not felt better about sort of the position of gold as its going forward. It's been brutal last few years. This past year was better for sure with some rollercoaster to it, but we do feel very good about where it’s positioned to go forward. So the timing in all regards we think will be very good. We wish our value is higher today. Certainly it's an opportunity for some to invest, but we are going to get it moving up.
Unidentified Analyst: Okay. There is sort of like - obviously when you look at how we financed the Civil War with Comstock and all that and those guys were just mining with picks and shovels and wheel barrows to point out that. I mean, just almost nothing compared to the sophistication that we have in this day and age and yet they took hundreds of millions of ounces and whatever else out of there.
Corrado De Gasperis: Yes.
Unidentified Analyst: And it sounds like just reworking some of the old structures, they bypassed a lot of what they considered low grade stuff or the private stuff and that low grade stuff is - it’s a very high grade in this day and age. So I’m just wondering should we be looking to either market our mineral rights and properties and everything else to a major company so as to realize a really good shareholder value or at least take on a strategic partner so they could provide some financing.
Corrado De Gasperis: We have - okay, so let me make a couple of points to what you just said. First of all, the old-timers mined almost 200,000,000 ounces of silver and over 8,000,000 ounces of gold with those picks and shovels primarily in the two-mile strike underneath within the city and just south of it. So we know where all those mine workings are. They went to depths of 3600 feet. They left a lot of gaps in between what they mined and what they didn’t mine in some cases because of land claims and conflicts that just they couldn't get the rights figured out. Other cases, there was doing about some things that didn't get done. We've only drilled on average to about 600 feet. I think our deepest hole is 1400 feet, right. So the exciting part about the Lucerne development is not just that we have this near surface corridor that then dips down into sheath zone but that we’re wide open at that. We’re wide open at that, right, so the notion of getting a mine established and then developing it on and on and then when you drill from underground, you could drill a lot deeper a lot cheaper, right. So it's really logical that all that is there and will continue. We don't see any evidence that it wouldn't. And so we will continue that. In terms of strategic partners, we've gotten looks and the looks are always very favorable, right. When we sign out a confidentiality agreement, we opened the Kamona [ph], they liked what they see and we've got more than one offer of people to joint venture with us and develop our projects. And we, as a board, always consider those things very, very seriously. That's lower end of the market right now and so sometimes the value equation isn't exactly what we like, and we work it. But in terms of options in front of us, we have a lot, right. What we want to do is maximize the value for you and our shareholders. And sometimes we have to go a little slower, sometimes we have to go a little bit more deliberately, but I think 2017 is going to be very active and it's going to be in the way that Chip discussed, in the way that Heiko discussed, in the way that you're discussing. We are going to start building value and in a way where the market is going to have to recognize it. We'll eliminate these concerns. Concerns about the ounces not growing will be eliminated, concerns about our liquidity will be eliminated and it's already becoming obvious to people. So we are looking forward to it.
Unidentified Analyst: I’m sure like given the history of the whole thing, it’s almost like a done deal that the ounces are going to grow significantly.
Unidentified Analyst: Right. So it's a question of growing them and getting the value recognized in our share price and that's what we're working on. And I’ve been getting those - the Dayton feasibility and the Dayton reserves will open our eyes, both in terms of the amount of ounces and the grades, very attractive.
Unidentified Analyst: The gold cores of the new mines and the people that are looking for big projects, particularly in Nevada, I’m sure that at some point particularly if the gold breaks out of it’s kind of doldrums, is it going to be impounding on your door soon.
Corrado De Gasperis: It’s already has.
Unidentified Analyst: Okay. Thanks Corrado.
Corrado De Gasperis: Thank you, sir.
Operator: Thank you, ladies and gentlemen. Time allotted for questions and answers has come to a close. I’d now like to turn the call back over to Mr. De Gasperis.
Corrado De Gasperis: Thank you. I appreciate sticking to the hour. I appreciate the excellent line of questioning. I also appreciate that not everyone always gets to ask the question on the call, so I really committed myself. So if you have any follow-up questions, please don't hesitate to reach out. I have a couple of calls scheduled already and then we'll just go from there and look forward to finishing the year strong and really building this company. Thank you all.
Operator: And that will conclude today's conference. We appreciate your participation. You may now disconnect.